Tiffiany Moehring: Good afternoon. I'm Tiffiany Moehring, and I'm the Director of Communications and Marketing at the American Battery Technology Company. We would like to welcome everyone to our second quarter fiscal 2026 earnings call. On behalf of the entire team at American Battery Technology Company, we would like to thank everyone for taking the time to join our call today. Following this presentation, a recording of this call, along with our press release and our quarterly SEC filings will be made available on our website. This presentation does include forward-looking statements within the meaning of the safe harbor provisions of the U.S. Private Securities Litigations Act of 1995. These statements are subject to risks and uncertainties that can cause actual results to differ from those anticipated. Additional information regarding the factors that may cause actual results to differ can be found in our annual filings. On today's call, our CEO and CTO, Ryan Melsert, will provide remarks regarding our two lines of business, which include our lithium-ion battery recycling business and our primary claystone to lithium hydroxide business. It is now my pleasure to turn the meeting over to Ryan.
Ryan Melsert: Thank you, and welcome, everyone, to this meeting. As we've discussed beforehand, we at American Battery Technology Company, have our two main business units, and we are working to implement the closed-loop infrastructure shown on the right. So first, we have our lithium-ion battery recycling technology that we have developed over the past several years. We built our first commercial scale facility about 3 years ago and are in the process of designing and constructing a second facility. We work closely with each of the partners and the other sectors of this closed-loop economy. We received waste streams back from each of them as well as end-of-life material to process in our battery recycling plant, where we then manufacture critical mineral products to sell back to our domestic customers to work to close that supply chain. Implementing this closed loop is very important. And if the amount of batteries in the field was fixed, battery recycling alone could supply just about all of the minerals needed. However, as the amount of batteries in the field is growing, in addition to closing the loop, we also need to fill the loop the first time. So that's why here at ABTC, we also have our own critical mineral resource, and we've developed our own technologies for how to extract the critical mineral lithium from the ground here in the U.S., how to extract it, how to purify it and how to make it into a final battery-grade critical mineral product. So we are happy to be joined by a new executive in the company as well. So Alex Flores, as our new Chief Financial Officer, has joined as of this coming Monday. He has over 20 years of experience, leading financial organizations in both the battery and the automotive sectors throughout North America. He's worked leading significant projects and proposals with the U.S. government, supporting different types of financing and has significant experience driving operational improvements through large organizations. So we're excited to welcome him this coming Monday as we ramp our business units to their next levels. As far as our financial summary for the previous quarter ending in December, we're excited to highlight that we have broken all of our records and achieved record high level of revenues for this facility. So we sold about $4.8 million worth of products just in the quarter ending December. And additionally had about $300,000 in our interest from income. So a substantial amount of $5.1 million we generated in that revenue and interest income for the quarter. While we substantially scaled operations at our first recycling facility through a lot of operational efficiencies, our operating costs actually increased by a much smaller factor than our revenue. So as we're operating now going forward, that $5.1 million in revenue and interest income, during the same corresponding period, we had about $4.9 million in cash expenses to operate that plant. And when including noncash costs, including depreciation and stock-based compensation, about $6.4 million. So we were getting to the point where the amount of revenue and interest income we're generating is very close to the amount of cash costs it requires to run this plant. We have additional ramp-up operations in place for this facility, additional operational efficiencies to put in place. And we're excited to be passing through the breakeven point on this plant and continuing to grow our margin as we move forward. We also are at one of our highest cash positions we've been at in years through strong market actions last fall as well as many of our existing shareholders electing to exercise their warrants. We had a cash balance of $48.7 million as of the end of quarter in December. So as we have this cash balance, we'll be using that to continue to scale operations at this first recycling plant, continue to add additional value-add processes and also work to move our two new facilities forward. Just as important, we were able to pay off any remaining debt or convertible notes in the past quarter. And as of now, we, as a company, have absolutely 0 debt. So very strong balance sheet as we move forward. Some of our largest cash positions in history, no debt, significantly increased revenue and only a minor increase in operating costs for this quarter ending December. And that ramp of revenue is, again, more revenue generated in this quarter ending December than the previous 4 combined. So this is much greater than linear growth as we work to scale this facility. Some of the highlights from the past quarter. We are receiving quite a bit of material from the automotive sector, but an increase in amount from the stationary grid Battery Energy Storage System field as well. Several large projects we have announced, we continue to receive material from each of those sectors. And again, increasing these operational efficiencies in the plant as we continue to scale operations, have reduced cost through economy of scale, but also lessons learned that we have an ever more trained workforce and keep offering the plant in more efficient manners. As mentioned, we have received our CERCLA certification. We are able to receive this type of material that is generated from different types of stationary facilities throughout the country. It's a rare certification we have. We have a strong relationship with the EPA to manage this certification and are proud to be receiving these types of materials from different types of applications throughout the country. As far as our recycling operations, we have announced that in addition to our first recycling plant near Reno, that we are moving forward with the design and construction of a second battery recycling facility in the Southeast U.S. So even just the past few months, we've had several team members at our site in the Southeast U.S., really working with local partners, a lot of our strategic partners in the area as well and moving the second recycling facility forward. In our second business unit, we are manufacturing this lithium hydroxide from our claystone material. Again, we are continuing to move this Tonopah Flats Lithium Project forward. This is one of the few lithium projects in the country that has been identified at this scale and is actually moving through the maturity steps. We built our integrated demonstration scale facility about 2 years ago, have had that running and actually demonstrating a much larger scale than is conventionally seen how we take our actual claystone from our own mine, how we move it through each of the operating steps through our extraction, our purification, our conversion, and our crystallization into a final battery-grade lithium hydroxide product. We were proud to be selected last summer and fall by the Trump administration as a priority project. So we have been assigned essentially a liaison from the FAST-41 Permitting Council, holding weekly meetings, really working to drive each of our federal permits forward to accelerate the commercialization of this critical mineral facility. So we're excited to have a lot of that status on the public dashboard on the FAST-41 website, and we continue to move through these permitting steps at an accelerated rate after becoming a priority project. We have completed all of the steps for submitting the baseline studies are now going through the NEPA process with the Department of Interior and the Department of Energy. And have been working on that process since the spring of 2023. So we're excited as we move forward and keep taking steps with the federal government. We did publish our Pre-Feasibility Study last fall, showing the technology and financial road map for bringing this mine and refinery to market. So this is for the 30,000 tonne per year facility. We modeled it with a 45-year life-of-mine, showed very attractive returns with a net present value after-tax of about 8%. And one of the most competitive portions is the production cost at just over $4,300 per ton of product. This would make it one of the most competitive commercial scale facilities in the world and is really an artifact of us designing these processes internally from the ground up with a blank page system as we work to bring one of the first and only claystone mine and refineries to commercialization. We've updated our lithium resource and reserve estimate several times. Within the PFS, we showed about 21.3 million tonnes of lithium hydroxide that is accessible from this report, included a substantial portion that has been upgraded beyond our resource into proven and probable reserves. As we've published that PFS last fall, we are now working diligently on the Definitive Feasibility Study to be published shortly. This really is the last step to having a bankable design as we engage with each of our investors for the investment in the refinery mine itself in addition to finalizing the offtake agreements for the product out of this facility. For the financials, again, in summary, we're excited to show about $4.8 million of revenue from selling our product, an additional $300,000 in interest income for the quarter. The cost of goods sold increased by a much lower factor than our revenue increased, showing our approach on the margin for this recycling facility. We continue to receive funds from each of our government grants that we have contracted that are supporting the operation and construction of these facilities. And again, on our cash balance, substantial investments were made in the fall in this quarter ending December to bring our total cash balance up to about $47.9 million. So again, that balance is being used now to expand our current facilities and to break ground on our new facilities. So again, thanks to our stakeholders, our shareholders, our partners, and we look forward to continuing to inform you as we scale up each of these operations moving forward. And I believe we may have 1 question or 2 from the audience now.
Tiffiany Moehring: Yes. We do have one question by Jake Sekelsky, who is the Managing Director and Head of Metals and Mining Research at AGP. He has the following question for you. Can you discuss progress related to the ramp-up of the $30 million EPA cleanup agreement?
Ryan Melsert: Yes. That's in reference to the Moss Landing project in Northern California. That has been going through decommissioning for many months. We have been receiving material from that facility since the end of the summer. That represents a substantial portion of the feed into our factory, but we do have several other sources from the stationary market as well as the automotive market and the consumer electronics field. So we received large amounts of material from that project. We are still on pace to receive substantially more material and are happy to be working with them as partners. I believe that's our only question for today. So again, thank you, everybody, for joining this webinar. Our actual 10-Q financials are being published now as well. And thank you, everyone, for your support.